Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Natuzzi Second Quarter and First Half 2014 Financial Results Conference Call. Today's conference is being recorded. [Operator Instructions] 
 Joining us on today's call from Italy are Natuzzi's Chief Executive Officer, Mr. Pasquale Natuzzi; then the Chief Financial Officer, Mr. Vittorio Notarpietro; Mr. Marco Saltalamacchiai, Chief Commercial Officer; Mr. Simone Ferrari, Chief Marketing Officer; Mr. Antonio Cavallera, Program Manager -- Officer; and Piero Direnzo, Investor Relations. As a reminder, today's call is being recorded. Please go ahead. 
Piero Direnzo: Okay. Good morning to our listeners in the United States, and good afternoon to those of you connected from Europe. Welcome to the Natuzzi's Second Quarter and First Half 2014 Results Conference Call. After a brief introduction, we will give room for a Q&A session. Mr. Pasquale Natuzzi, together with the management team, will be glad to answer your questions.
 By now you should have received an e-mailed copy of the Natuzzi's earnings results. If not, you can find this information within our website at www.natuzzi.com or please call our Investor Relations Department at 0039 080 8820 812 to receive the results by email. You can also email information requests or questions to our email address, investor_relations@natuzzi.com. We will respond to you as soon as possible.
 Before proceeding, we would like to advice our listeners that our discussion today could contain certain statements that constitute forward-looking statements under the United States securities laws. Obviously, actual results might differ materially from those in the forward-looking statements because of risks and uncertainties that can affect our results of operation and financial condition. We have discussed that such risks and uncertainties, which have in the past affected and may continue to affect our results of operations and financial condition, in our annual report on Form 20-F for the fiscal year ended December 31, 2013. These reports are available within our website, www.natuzzi.com, or from us upon request. You may also obtain a copy of our Form 20-F filing from the United States Securities and Exchange Commission. 
 And now I would like to turn the call over to the Chief Executive Officer, Mr. Pasquale Natuzzi. 
Vittorio Notarpietro: I'm sorry, Piero, I will start before the speech of Mr. Natuzzi, who will join us in the Q&A session. Okay. Good morning to everybody, this is Vittorio. First of all, on behalf of the entire management, let me first tell you that the management is disappointed for the first half 2014 financial results. But at the same time, confident about the future of our company for which we have created value in the last decade and continued to do so. In fact, 10 years ago, we were a pure manufacturing company located in Italy and specialized in the production of leather sofas with competitive prices. We say that we democratized the leather sofa. 
 With the introduction of the euro and the globalization of markets, it was no longer possible to confer that business model. And therefore, we changed our strategy to transform our group from a manufacturing B2B company into a high-end B2C branded company. We invested in building up our industrial plants in China and then Brazil and Romania, and to support our brand with very good results in terms of brand awareness. I'm sure Simone will elaborate on that through the utilization of our financial resources and management ties. 
 In order to support our brand and distribution strategy, we have built a chain of 597 points of sales, mono brand stores and galleries worldwide, and 11 trading branches worldwide to control the distribution quality. Having said that, about what we did in the last decade, on February 28 this year, the Board of Directors approved the Transformation Plan 2014-2016 with the following 2 goals. One, regaining market competitiveness through product and industrial process innovation, rationalization of our retail network, optimization in the back office processes. And two, turnover growth, thanks to a new brand strategy focused only on the Natuzzi brand, and so rationalizing the previous fragmentation in our brand portfolio. The development of 3 lines of products under the Natuzzi umbrella brand, Natuzzi Italia, Natuzzi Editions and Natuzzi Re-vive, in order to achieve a wider range of consumers. Extension of our product offering, new coverings, in particular fabrics, new products, coffee table, chairs, racks, lamps, other complementary furnishings for the living room and beds and bedroom accessories. Then the strengthening of investments in marketing and communication. And lastly, the reinforcement of the commercial organization. 
 First semester results delivered 2 important messages about the progresses of the 3 years Transformation Plan. They do confer the validity of our overall marketing and distribution strategy and the effectiveness of its execution indeed. The order flow to date is half high-single digit versus same period last year, the most important KPI in any company. They also confer through different tasks. We carried out the validity of the product and industrial process innovation and the relevant potential benefits in terms of cost of goods sold. 
 But during the execution of the industrial process innovation project, we determined some corrective measures to be implemented. But they may result in a lower implementation of the plan than originally foreseen. The main reasons for the production gap and delay were: one, high degree of complexity in products; two, production planning system not able yet to create repetitiveness of work on the same production line; three, the need for additional workers' training and incentive systems. 
 We have set up a specific theme focusing on monitoring and solving the problem just mentioned. Within next November, we will be able to define in more detail the delay in the execution of the plan with regard to cost of goods sold. In light of the above and in spite of first semester results, we believe we can confer the long-term goals as reflected in the plan, even though with a longer schedule. Thanks to everybody. 
Piero Direnzo: Hello. We are here to answer your questions, if any. 
Operator: [Operator Instructions] We will now go to our first question from Frank Previtera from Banca Akros. 
Francesco Previtera: I have a question regarding the timing of the implementation of the strategy. Are you late in implementation? Or is the market to be responding more prudently in your strategy? Can you give us some color on this aspect? 
Pasquale Natuzzi: You're welcome, certainly. This is Pasquale Natuzzi, good afternoon. The strategy has been confirmed. I mean, let's say we have a brand and distribution strategy, which is related to the fact that until last year and the year before, we had many other -- many branch, let's say. We used to have Italsofa. We used to have Natuzzi, obviously, Softaly, Leather Edition and the Natuzzi Edition, and then the private label. So we had to manage 6 different business, let's say, type of a business. In terms of product, the distribution, the production and things like that. Since we did the fourth analysis in our company last year, when we developed the business plan and we asked some consulting like Bain to assist us in creating this business plan, the -- I'm sorry, word -- the market research that we did, the market research that we did in America, in China, in Poland, in Belgium and even in U.K, and also some research made from Lagardère, it's a research company, French research company, the result was that Natuzzi brand has the highest awareness in the furniture, in the high-end furniture. So based on that, we decided to focus on the Natuzzi brand because that will allow us to reduce complexity, number of models to maximize our advertising investment because each euro or dollars we invest on Natuzzi brand, I mean, will help to raise even more the brand awareness. So again, from the strategy point of view, brand strategy and distribution strategy of Natuzzi, has been proved to be very positive. In fact, the order flow, we measure, I mean, the -- let's say, the result of product strategy, marketing strategy and distribution, we measure through order flow. Now what order flow means? The order flow are the order that we receive from the market, I mean, the consumer, they get in the store and they purchase a Natuzzi product, and we receive the order. Then we must be able to manufacture those orders and translate in volume, in invoice. So again, market -- the brand strategy and marketing strategy has been well received from the market. In fact, as translating in increased order flow by very high 1 digit. It's plus then 5%, let's say, okay. Then you ask another question, I believe was what? Can you amend -- did I answer your question, so strategies question? 
Francesco Previtera: My question was if -- in the execution, is the market not responding or if it is a problem of Natuzzi to come? 
Pasquale Natuzzi: The market is responding very well. Now because our business plan is based on brand distribution strategy and organization in order to increase volume because, again, the strategy -- the plan is we needed to increase volume and we needed to cut down the cost of goods. How can we -- so the volume are increasing. So that means that the strategy has been well received and is positive. I mean, we are very quite sure about that. Very quite sure. Regarding the delay in implementation of the strategy, if we look at the figures of the semester, all right, it's obviously -- and as we mentioned it before, when Mr. Notarpietro already explained, that we had some problem in implementation of the production, new production lines. Again, regarding the cut down of the cost of the goods, we have been focusing and working on new product strategy development and new production process development. The new product, I mean, it's very simple. The plan -- I'm a little bit -- I'm sorry. 
Marco Saltalamacchiai: Yes. This is Marco Saltalamacchiai. I would like to elaborate... 
Pasquale Natuzzi: Innovation. I'm sorry. I mean, it's just -- again, the way we can cut down the cost of the goods is based on product innovation and production process innovation. Now the product innovation has been proved by several tests that is a very, very, very positive, while the production process innovation is also very much positive and has been proved by several tests that we have done. Unlikely, in the implementation between product innovation and production process innovation, we had some problem in the implementation. We create already a team, management team, that will work for the next 5 weeks in order to identify how much delay shall we have in implementing the production process implementation. Because we had the delay in manufacturing, our production has dropped in the first, let's say, in the first 17 weeks of 2014, we had the production drop by 14.7%. While at the week of 37, 20 weeks later, we are at minus 4.7%. So manufacturing less product, we have invoiced less euros. While the cost they were fixed, and so that has impacted on the balance sheet. Do I have been clear? 
Francesco Previtera: Yes. 
Operator: We will now take our next question from Matt McCormack from Aegis Financial. 
Matthew McCormack: In terms of the production delays, could you provide, I guess, a little bit more detail around that? And specifically, can you talk about the Italy and the Chinese plants? 
Pasquale Natuzzi: Certainly. I mean, specific in terms of, I mean, in terms of numbers, and I can tell you that we had delay in Italy, in production in Italy and even in China. Those -- I mean, in China and Italy, we had dropped production, which affected the volume of the second quarter, primarily. The first quarter, I'm sorry. The first quarter, while the second quarter, we had very good recover. 
Matthew McCormack: Okay. Can you provide us an update on the labor relations in Italy? 
Pasquale Natuzzi: Yes. Yes. We have another meeting with the national union and with the Minister of Business Development. It's for next Wednesday. I mean, there is, let's say, a good approach from the union and the government in helping us in reducing the investor cost of the product here in Italy. But we are very determined to go forward, because if we should stay in Italy, it's because we should reduce very much the investor cost. Otherwise, there is no way to stay here in Italy. That's the reality. 
Matthew McCormack: Can you provide numbers? I know like in -- before you've talked about 500 people or so coming back into production, have some others being laid off. Can you talk about what the headcount is in Italy and where you need to get to? 
Pasquale Natuzzi: Okay. Let -- here, there is Mr. Cristetti, which is our Human Resource Manager. Let him answer on this question. 
Ezio Cristetti: Good afternoon. Just to summarize that the purpose of the agreement is to, of course, recall people and to have them again producing, but with reduced working time. So therefore, we will benefit with more people, but in terms of productivity, in terms of outcome, we expect to increase our productivity accordingly. That means that, of course, we are confident in having the capability, as Mr. Natuzzi said, to reduce the employment cost due to the fact that we are pushing the unions to be more flexible in order to be competitive enough and to face competition worldwide. On the other side, we want to, of course, leverage as much as we can, all the opportunities that the laws and regulations give us at this point in time in order to address the headcount in our company in a way that will be, of course, consistent with the achievement of our goals in terms of productivity. So we want to reduce the expenses in order to lay the people off, and that is good news on one side. On the other, we want to reduce the cost, the production cost, and we want to do it balancing also the impact on the local community. That is what we want to achieve. 
Pasquale Natuzzi: So it's -- we are managing to achieve labor cost reduction in Italy, right? 
Ezio Cristetti: Per hour. Per hour. 
Pasquale Natuzzi: We are discussing with the parties, with the social parties. 
Ezio Cristetti: Per hour. We want to reduce the labor costs per hour and therefore, we are -- due to that, we are able to employ more people and to balance, of course, productivity and costs together. 
Pasquale Natuzzi: But also to get flexibility. I mean, we need to have a flexibility according with the order flow and the production needs. And in addition to that, we should also, I mean, another of the condition that we want to use is that, in Italy, when you have, let's say, you have a job for 10 people, okay. And you have 20 employees, I mean, you should choose who you should give the job to. 10 or to -- you have 10 -- you have work and business for 10 people, not for 20 people, and you should choose the people based on social, let's say... 
Vittorio Notarpietro: Criteria. 
Pasquale Natuzzi: Criteria, exactly. But unlikely, the social criteria doesn't match with the quality and productivity criteria. And so we said, wait a minute please because we should care about the company. So we should use the productivity and quality criteria. We need to reduce the cost, the labor costs, and we need to also raise productivity and keep flexible. Those are the conditions that we are negotiating. And I don't want to be too much confident but, I mean, we don't have alternative. People should understand in this country, in our country, that there is no more space for other discussion. 
Matthew McCormack: Okay. In terms of the process redevelopment, I mean, you've been talking about that for a while. Can you give us some specifics of why you're not able to change the manufacturing processes? And I know you talked about your meeting soon regarding that, but what time frame should we envision for the manufacturing to be more efficient? 
Pasquale Natuzzi: As I said, we have now in place a management team, full time, dedicated to analyze where we are now, where we want -- what's the plan is about, production increase and reduction of cost of goods. And within 5 weeks or 6 weeks at the latest, we will deliver more accurate numbers. It's just 5, 6 weeks. 
Vittorio Notarpietro: But if I may, in the meantime, we can underline the fact that in Q1 this year, the lowering of production was minus 11%. In Q2, it has been minus 1%. At the end of the day, productivity means more output and we recovered in Q2. During these days, these weeks, in the third quarter, we are gradually improving the production, see it's invoiced, and we are targeting -- July and August were in line with last year. September is improving and we have a goal to display by mid-November to you, sirs, a small increase compared Q3 last year. This means that we are continuously, gradually improving the productivity and the output of this company according with the order flow. Thank you, everybody, especially Mr. Natuzzi and Mr. Saltalamacchiai. We could achieve a goal in Q4 higher than in Q3. Because we have orders, we are now trying to increase internal productivity in order to fulfill, in order to face that amount of increased orders. So minus 11%, minus 1%, maybe plus 1%, 2% in Q3. Maybe higher in Q4. This is the trend we are actually experiencing in these days that we are monitoring day by day the productivity of each plant, each department in any country worldwide. 
Matthew McCormack: Okay. Okay. And then my last question, the Re-vive chair, I believe, that was launched about a year ago. Can you talk to us about how that is selling? And if you have any unit numbers, that would be great as well. 
Marco Saltalamacchiai: Yes. This is Marco Saltalamacchiai, good afternoon to everybody. Good morning, actually, for our American listeners, as well. The Re-vive chair has been presented as a prelaunch at the High Point fall market last year. But as for the rest of the product strategy, has been presented through the market during the spring fairs, which namely have been the Grandeur Market in March in China 2014, High Point's spring market in April and the Salone del Mobile in Milan in April, as well. So the actual deployment of the point-of-sale started in late spring and are currently under -- in progress. So for the time being, we have already delivered 115 point-of-sale on 175 committed, and the current order inflow for the recliner is above, say, EUR 6.5 million, which is basically 1/2 of the original budget we gave ourselves. So despite some delay we had at the beginning, so we might say 3 months, we feel we are quite on track on the regional budget. And we might be in a good position to be, if not on the budget, in a significant round of it. 
Operator: We'll now take our next question from Kathleen Lockes [ph] from Huntsman. 
Unknown Analyst: I wondered, when we are looking at the financial situation, you see that first half year, there was organic cash outflow from almost EUR 19 million. And in the details, there is not much related towards the restructuring. I was wondering if we have any -- yes, if there are big post and cashout implications of the restructuring that still need to come in this third and fourth quarter? Or yes, will there be no cash impact of the restructuring activities which are going on?
 [Audio Gap] 
Unknown Analyst: Hello? 
Vittorio Notarpietro: Can you hear me? 
Unknown Analyst: Yes. Now I can hear you. 
Vittorio Notarpietro: Okay. Of course, the gap between the budget, what we had in mind at the beginning for -- in our business plan and actual results, obviously, affected our financial position, of course. So all the benefits we had in mind we receive in the second half in -- of 2014 will be not there. This is clear because the delay in the implementation of the, let's say, business plan with regard to the transformation cost, because I would underline all the other projects are in line with expectations. But that part of the business plan is not there. So we were affected by the lack of new cash coming from the innovation in the process innovation part. We started and we still have a sound financial position. We have, obviously, we used more cash than we had in mind, but we still have some cash in the region of EUR 40 million in China, but not only China, even in other accounts. We are using less cash for the CapEx because we are reducing CapEx. The cash from clients is improving because the quality of our portfolio, client portfolio, is there. So we have enough cash to go ahead, to understand better which are -- understand which is the way to solve the implementation gap we found in this month. And as said before by Mr. Natuzzi, in a few weeks, we will be able to understand how many quarters' delay we have. But in the meantime, we have cash enough to go ahead. In the meantime, we continue to get some money from banks, and new banks which joined the company recently. So we are in a good position to -- even to sustain this delay in the business plan. 
Unknown Analyst: But will there be a cash out related to the restructuring plan? Like if you lay off people or if you change contracts, you need to pay a penalty? Do you expect big cash outs in investments if you are now negotiating with the unions in Italy? How do you -- will this have an impact on the cash position? 
Vittorio Notarpietro: Yes. I understand your question. Obviously, we have a plan that we announced months ago. In order to lay off 420 people by the end of, let's say, November -- October, November. For those people, we'll spend in the area of EUR 14 million in order to give them incentives and let them go away, go out of the company. But this isn't the plan. This amount originally was for 600 people and the cash out would have been in the region of EUR 21 million. So today, we are saving, let's say, from the original amount of EUR 7 million, in order to lay off 420 people, which is a part of the entire program that Mr. Cristetti is discussing with the local authorities, with Minster of Labor and so on. But having said that, what Mr. -- the company is discussing with the unions and the minister, is that they have to lower the cost of labor of the people that will stay in the company. They have to give us flexibility in how to use people, okay. Because the order flow could -- there is a volatility and we need the flexibility to -- we need flexibility in our company. That's it. 
Operator: [Operator Instructions] We'll now take our next question from Edgar Azaryev [ph], private investor. 
Unknown Shareholder: A few questions I kind of have today for you. Since 1997, Natuzzi stock has dropped 91%. In the last 5 years, 50% of Natuzzi stock volume has been declined. From 2008, your competitors, including La-Z-Boy and Flexsteel, delivered over 100% of the value to their shareholders. It's been an ongoing fall down. Nevertheless, I can't say that Natuzzi is a bad brand. I cannot say that. But there is definitely, definitely an issue with the strategy and the leadership. What are you doing to contain further drop in the stock price? Are you planning to buy back shares? Are you -- what are you doing? Can you elaborate on that? 
Pasquale Natuzzi: This is Pasquale Natuzzi, again. Okay, to make comparison, Natuzzi -- to compare Natuzzi with La-Z-Boy or Flexsteel, I don't think is appropriate because La-Z-Boy and Flexsteel, they are American company. They operate almost totally in the American market. While we are an Italian company, which export the same service since the beginning, 92%, 93%, and we should take in consideration exchange rate, the euro, the strong euro and several situation. So I mean, comparing Natuzzi with La-Z-Boy and Flexsteel and other American company, it doesn't makes sense in my opinion, I'm sorry. That's one. Second, again, in the last 10 years, we have been investing heavily in order to change this company, okay. We were a leather upholstery company manufacturing just the product here in Italy. With the globalization and the introduction of the euro, we invested -- we defined the new strategy for our group. We invested EUR 92 million euro to open a factory, to build a factory in China, Brazil and Romania to build a totally new product for Natuzzi by repositioning the product, by doing a product extension, not only leather upholstery, but even fabric upholstery, even coffee table, lamps, racks, dining room, bedrooms, I mean, and developing even the retail. By doing that, we have made huge investment and the management has been focusing in order to revolutionize this company. Otherwise, probably, we would be not here and talking about the company still. So today, we have -- we are the only global company. We have a Natuzzi brand, which has the highest awareness. To build awareness and to change the company from B2B to B2C has been not an easy exercise. Obviously, the result of the balance sheet has affected the price of the share, consequently. But that's because, if we look at just the balance sheet, but we need -- that's why Mr. Notarpietro, in the opening of this conference call, he was reminding the shareholders and the listeners, the evolution of the company in the last 10 years. So it depends from which angle we look at the situation. All right. Then the last 2 question, buyback, no. There is no absolutely -- I mean, we want to recover volume and profit in this company. And I mean -- and that's why we did the business plans. We create the value for the company in other words. We create huge value for the company. The value shouldn't be just evaluate by the share. 
Unknown Shareholder: Then would you say that, in the near future, you're looking to privatizing the company? 
Pasquale Natuzzi: No. No. 
Unknown Shareholder: If the value that you're creating just for the company and its employees but not the shareholders, then why not just simply buy out the company? 
Pasquale Natuzzi: No, I'm sorry. We are a public company. We are, I mean, 40% of the shares are on the market. You are a shareholder. We create the value for you not for the company or for -- I mean, you are the company. 
Unknown Shareholder: But my value, Mr. Pasquale, my value has been declining for the past 5 years by 50%. And if you look from 1997, the value has declined 91%, and there is absolutely -- and these are the facts. And you cannot fight the facts. That's all I have. 
Pasquale Natuzzi: Okay. Again, from that perspective, I might say you're right. What can I say? 
Operator: We will now take our next question from Timothy Stabosz [ph], private investor. 
Unknown Shareholder: I would like to echo some of the comments of the previous questioner. I have concerns about the business model of the company. For the 6 months, Natuzzi's net loss is 12% of sales. That is a very serious and problematic situation. In United States, RadioShack is loosing 15% roughly of net sales, 15% or 16% for the 6 months to date, and that is a very unhealthy company. Now Natuzzi has a much stronger balance sheet than Radio Shack, but there's a very serious question about whether there remains a business model for Natuzzi. And I think, shareholders such as myself, want to know that you -- since you founded the company, Pasquale, are examining the question about whether or not the company needs to be sold or you should take it private and preserve value for shareholders. Because as it stands now, you were hanging your hat on the notion of Italian-made furniture, which made your workers think that you would never vacate Italy and that you were a benefactor to them, and now we're talking about realizing that Italian-made, in today's market, doesn't mean anything anymore from a cost perspective. My question for you is, and I'm sorry, I got in on the call a little bit late, so I apologize if some of these have been answered, but when will the decision be made to vacate Italy in totality, if necessary? When will that decision be made by? And can we move all of our production elsewhere? 
Pasquale Natuzzi: Okay. If we should move the production as well, depends from the agreement that we will be able to make in the next couple of weeks, 2, 3 weeks in Rome with the government and with the union. Regarding the business model, the Board of Directors and the management believes on this business model. It's just a matter of time of taking the company profitable again. And base it on the business plan, the forecast was that starting from the last quarter of 2014, we would do a breakeven. And then the first quarter 2015, we would make a profit. Now brand strategy, as I said before, has been well received from the market. The order flow is increasing. We are analyzing the quality of the business, which is very positive. Management is very comfortable. We believe that we will respect the business plan. And if you give a look to the business plan, it's well, I mean, articulated, but with a clear goal to be achieved. 
Unknown Shareholder: Will sales come back just by reducing costs? I mean, Natuzzi sales just keep dropping year after year and that's because there's products of other... 
Pasquale Natuzzi: No. I'm sorry, but you should understand that the sales drop has not to do with the sales, but has to do with the new production, innovation, implementation, because what we measure is the order flow. But Mr. Saltalamacchiai, our Chief Sales Manager wants to -- Commercial Manager wants to talk about that, all right. Okay. 
Unknown Shareholder: Well, let me interrupt, if I may interrupt briefly. I'm not talking about what's happened in the last 3 or 6 months. I'm talking about what's happened in the last 5 years since the global recession largely ended. And that Natuzzi's -- I'm talking about the last, since the peak in 2006 or 2007, that Natuzzi keeps shrinking. I'm not talking about the last quarter and that -- the problems of production with the new methodology, the new moving line and those problems. I'm talking about the business model problem being that Natuzzi sales just keep shrinking year after year after year. So my question is not about the moving line or new -- my question is a broad-based question. 
Pasquale Natuzzi: Okay. So you refer the last 5 years? I don't know how familiar you are with the furniture industry, okay. But whoever I talk with in America or everywhere in the world, since 2009 up to this year, the furniture business has dropped by 30% everywhere. I mean, the Furniture Association, I made the President of Italian furniture association, but we are, I mean, we are associated with the furniture, I mean -- and, I mean... 
Unknown Shareholder: Yes. But Pasquale, aren't your competitors gaining market share from you over you the last 5 years, significantly? 
Pasquale Natuzzi: Can you repeat your question, please? 
Unknown Shareholder: Aren't your competitors gaining significant market share from Natuzzi over the last 5 years? 
Pasquale Natuzzi: Competitive -- it depends who are our competitors. I mean, if you talk about China, the Chinese competitors, yes, they are gaining business from everyone, from the Western company, I mean. That's something different. But I mean, the Chinese are not our competitors. 
Unknown Shareholder: The Chinese are not competitors? 
Pasquale Natuzzi: Furniture business has followed the real estate business, I mean, Spain, Italy. But the Italian Furniture Association declared that the business in the last 4 years has dropped by 32%, 33%. 
Unknown Shareholder: You agree that it is true that the problems of Natuzzi's declining revenues over the last many years is because we primarily have a cost problem, correct? A cost problem? Production cost... 
Pasquale Natuzzi: We have been focus -- no, we have been investing money, focusing in changing the company from B2B to B2C. And by created the awareness of B2C -- I mean, the awareness, you don't build the awareness -- we increased the cost because before when we were B2B, we were not investing in marketing. But since we decided to become a B2C company or brand, we have been investing in marketing, in new product, in retailer. And that, now that we have done that, through the new organization and through the new plan, we should recover and take back the company as profitable. 
Unknown Shareholder: The sales growth will come because what? Because the right products, the right cost structure, a combination of the 2? 
Marco Saltalamacchiai: Yes. 
Pasquale Natuzzi: Okay. 
Marco Saltalamacchiai: May I interrupt to answer your question, this is Marco Saltalamacchiai. Again, first... 
Unknown Shareholder: I'd like to have the CEO of the company answer that question, with all the due respect. I'd like to have Mr. Natuzzi answer that question, founder and a major shareholder. I think for peace of mind, I mean, with respect to you, I think for peace of mind, I think the shareholders, the long-suffering shareholder needs Mr. Natuzzi to answer that question. With great respect but concern. 
Pasquale Natuzzi: So I mean, we have -- the problem are the sales. We need to increase sales and we need to reduce the cost. Those are the 2 directions that we are following. Number one, increase the sales and reduce the investor cost. 
Unknown Shareholder: Just a couple more questions, please. Now you filed, Pasquale, a 13D indicating a purchase 500,000 shares of stock in the open market. So how should shareholders take that? The meaning of that purchase, that regarding your belief in the company or why you made that purchase? And I guess, for full disclosure, I should say that it's not in the filing. You made that purchase for myself. I am still a shareholder of a Natuzzi, but I reduced my position by about 2/3 because I perceive greater risk in the execution of the business model, although I still believe the brand has a lot of value and there's turnaround potential, of course. 
Pasquale Natuzzi: Okay. All right. I mean, the interpretation that you, shareholders, should have on that is that Natuzzi believes in the company. Natuzzi believes in the future of the company. There were shareholders that, he asked if I had -- he was going to sell. He needs to sell your block of 500,000 shares and he said if I was interested. By law, I've done exactly -- I mean, I've been aligned. In the meantime, the interpretation that you shareholders should have about that is that Natuzzi believes in the company, in the future of the company. 
Unknown Shareholder: And then finally, the -- do we -- just so I understand, do we have the ability to vacate and move out of Italy now, or are there still all kinds of negotiation and permissions that need to be granted from the Italian government and/or the union if we wanted to vacate production from Italy and produce nothing in Italy anymore, if we cannot get dramatic, dramatic cost reductions from the Italian workers unions. Do we have the ability to be out of Italy and stop producing by the end of this calendar year? 
Pasquale Natuzzi: At the end of what? 
Unknown Shareholder: The end of this year. This calendar year. 
Pasquale Natuzzi: No, no, no. I mean, the answer is that to manufacture, why not, in our Romanian factory? We have a huge factory in Romania. It is still Europe. I mean, we can move production there. Cannot happen overnight and nor also in the next 3 months. But I mean, that's possible and if it's necessary, I mean, we should absolutely consider that for the interest of the shareholders. 
Unknown Shareholder: So we could be out of Italy and producing exclusively outside of Italy by sometime next year. Is that correct? 
Pasquale Natuzzi: Listen, to move a production, this amount of production from one country to another country, it's something that needs to be planned and done properly. We need to protect the brand, the quality, the service to our customer. It's -- if we make a decision like that, we need to review our business plan because, I mean, the plan will be affected by that decision. 
Unknown Shareholder: I want to say this probably as my last question and my last statement as a United States shareholder. I have concerns, Pasquale, and I've had concerns for years that because you are such a good man and you are such a loyal and decent person, and you built this company on the backs of good solid Italian workers, and it's been a wonderful thing and a wonderful ride, as we say, ride, that you are -- that they are taking advantage of you and have been now for the last few years. And they don't maybe understand that when a company is losing 12% of net sales and the bottom line loss, that, that is catastrophic. And that they think that Pasquale Natuzzi is never going to walk away from them and that they don't have to negotiate in good faith. And I am a shareholder and I am a concerned that maybe that's true, and you don't want to walk away from them even though the business is dying. Can you speak to that? 
Pasquale Natuzzi: No, no, no. I mean, I have a different idea. I mean, my main interest is to protect the company and the shareholder interest and no question about. Whatever has been planned so far was based on fact. It was not because I desire to do something instead of something else. Whatever I've done has been always -- I mean, whatever the decision, whatever the board decision has been made and whatever the management decide, because it's not just Pasquale, I mean, here there is a management, there is a Board of Directors, very qualified people. I mean, and whatever we do, we make all the analysis possible before to make any decision. But honestly, we are now -- I totally agree with you. I mean, I'm very much disappointed for the result. For one reason or another reason, we are delaying, but now it's enough. We need absolutely to take the company profitable. Again, and whatever that will require will be done, period. 
Operator: [Operator Instructions] And we will take our next question from Edgar Azaryev [ph], private investor. 
Unknown Shareholder: It's me again, I'm sorry. Let me ask you another question. I do understand that you're conducting some -- the organizational changes within the company, and you have hired a new Chief Executive to lead United States arm of Natuzzi Group. Can you tell us how it is progressing and how well performing is that individually? And where do we stand in terms of adding value on the U.S. cost? 
Pasquale Natuzzi: Okay. If you agree, I would like Mr.  Saltalamacchiai, the Chief Commercial Officer, all right? 
Unknown Shareholder: I'm okay with that. 
Pasquale Natuzzi: Okay. Thank you. 
Marco Saltalamacchiai: Okay. This is Marco Saltalamacchiai speaking. And we have to say that the watershed, basically, of the strategy has been starting in spring as we presented the overall strategy in High Point. So if I take just the American market, since then the growth has been consistent. And it's been consistent as you know in our 2 product lines, which is the branded product line, which is the Natuzzi product line, and the private label or what is called -- we used to call the private label, what we sell through major retailers like IKEA or Macy's. For example, when it comes to the private label, which is a significant part, which represented more than 40% of American turnover, the growth this year has been 30% -- 3.0% against last year. And on the Natuzzi brand, we have registered a growth as well, which has to be considered in both part before the presentations or before spring and after. But again, the growth for Natuzzi in order flow has been by 3%. So overall, I have to say that the consistency of the growth, not just for America, but on all of the other regions is significant. 
Pasquale Natuzzi: And Ed Teplitz, who has been appointed exactly, has been, I would say, one of the drivers of this growth. We are very pleased to see that since he arrived, we've been opening new accounts. And of those new accounts, we have -- I just had the statistics, and of the new 30 accounts, they account now for EUR 10 million new orders, 50% of them are based in U.S. Do you have any other questions? 
Unknown Shareholder: I actually do. So -- and that will be the last question. When -- Do you know the timing of the next shareholder meeting? And do you think by that time, you will be actually able to add value not just for the company, but also for the shareholders? 
Marco Saltalamacchiai: Could you repeat the question and who will address the question, by the way? 
Unknown Shareholder: I mean, this question is actually for Mr. Natuzzi, but if you wish to answer it, it's totally fine with me. My question was, when is the next shareholder meeting because I would like to attend this? And will you guys be able to create some sort of a value, not just for the company and its employees, but also for the current shareholders by that time? 
Pasquale Natuzzi: The next conference call will be for Q3 results by middle or end of November. You will be informed as usually with an official note. You're asking about a shareholder meeting, the next one? 
Unknown Shareholder: Correct. 
Pasquale Natuzzi: Yes. The next scheduled shareholder meeting will be as usual for the approval of 2014 results, so will be by the end of April 2015 in order to approve results for full year 2014. For any additional information, you may ask the depository bank in New York, the Bank of New York, Bank Mellon, in order to get more information, more details about all the procedures that you can follow as -- you, as shareholder. 
Operator: At this time, there are no questions in the queue. And this does conclude today's conference. Thank you for your participation. 
Piero Direnzo: Thank you.